Operator: Good afternoon, and welcome to Mister Car Wash Second Quarter 2025 Conference Call. [Operator Instructions] Please note that this is being recorded, and a reproduction of this call in whole or in part is not permitted without written authorization from the company. I will now turn the call over to Eddie Plank, Vice President of Investor Relations. Please go ahead.
Edward Plank: Good afternoon, everyone, and thank you for joining us to discuss our second quarter financial results. With me on the call today are John Lai, Chairman and Chief Executive Officer; and Jed Gold, Chief Financial Officer. After John and Jed have made their formal remarks, we'll open the call to questions. During this conference call, references to non-GAAP financial measures will be made. A complete reconciliation of these measures to the most comparable GAAP measures have been included in the company's earnings press release issued earlier today and posted to the Investor Relations section of the company's website at mistercarwash.com. As a reminder, comments made on today's call may include forward-looking statements, which are subject to significant risks and uncertainties that could cause the company's actual results to differ materially from management's current expectations. While the company may choose to update these statements in the future, it is under no obligation to do so unless required by applicable law or regulation. Please review the forward-looking statements disclaimer contained in the company's SEC filings, including its most recent 10-K and 10-Q reports as such factors may be updated from time to time with the Securities and Exchange Commission. I'll now turn the call over to John.
John Lai: Thanks, Eddie. Good afternoon, everyone, and thanks for joining our second quarter 2025 earnings call. The ongoing strength and durability of our UWC subscription model enabled us to deliver our ninth consecutive quarter of positive comp store sales growth. As Jed will outline in greater detail, total company revenue increased 4% to $265 million. Comparable store sales increased 1.2%, and our adjusted EBITDA came in at $87 million. While we, like the rest of the industry, experienced softer top line trends in Q2, driven by unfavorable weather and a more tepid consumer environment, we remain heartened by our UWC member base, which remains as resilient as ever and helped offset a weaker retail backdrop. Our EBITDA performance this quarter reflects a combination of softer top line results and our deliberate investments in repairs and maintenance. These investments, while temporarily elevating our cost base were essential to reinforcing the long-term health of our stores and delivering the industry-leading quality that is synonymous with our brand. From a unit growth perspective, we added four new greenfield locations, which expanded our total unit count to 522 stores. In addition, we're encouraged by the continued growth of our UWC membership base, which increased approximately 5% compared to Q2 of last year. We also made significant progress on our base membership price increase, which will benefit revenue in a more pronounced way in the back half of this year. With the rollout almost complete, member retention levels are trending in line with our expectations, confirming the tremendous value that members are driving from the program. We've pioneered how consumers care for their vehicles through innovation and consistency, we've helped shift consumer behavior, transforming car cleaning from a relatively infrequent service into part of their weekly routine. Finally, we're seeing some early wins with our efforts to stimulate retail traffic and membership sign-ups, which I'll discuss shortly. Before I dive into the progress we're making on our strategic imperatives, I'd like to take a moment to address the changing dynamics of the car wash sector and the health of our industry. Car Wash spend increased roughly 5% in Q2 according to BofA's credit card consumer spend data, illustrating that demand remains strong for our industry, albeit in a more competitive environment. Recent industry developments underscore a critical point. Not all car wash platforms are created equal. One high-profile operator underwent a significant restructuring, while another platform was sold at a deep discount. These events highlight that operations matter and that customers don't see all car washes as the same. We believe we're at an inflection point in our industry's life cycle, where those that grew too quickly without the operational capability to deliver a consistent customer experience are starting to fall behind the stronger operators. As the industry rationalizes, it will ultimately be a positive for our business. Our focus on operational excellence and the fundamental building blocks we've built over multiple decades have laid a robust foundation for continued growth, stronger competitive advantage and market share expansion across the regions we serve. When layered with our industry-leading subscription member base, strong unit economics and innovation road map, we believe we're positioned exceptionally well to continue growing and building our brand for years to come. As the level of competitor new builds continues to moderate, we're seeing a return to a more rational level of greenfield expansion. The new steady state of growth for our industry will benefit Mister because as the irrational behavior we've seen over the last five years lessens over time, it will enable us to further strengthen our core business while improving greenfield economics, all at a pace that best leverages our internal capabilities. Net-net, the height of the turbulent environment is behind us, and we're now in a period of healthy transition. Those who are operationally sound, customer-centric and strategically focused will not only endure but thrive. It's important to note that as one of the premier operators in our space, our customer experience and operational expertise have become some of our biggest competitive advantages and points of differentiation. We deliver this through fast, reliable service, a robust support infrastructure, unwavering quality and what we refer to as the moment of truth when our frontline team members interact with our customers with a wave and a smile, brightening their day while helping them keep their cars clean. With respect to all the technology, mechanization and advanced chemistry we use, it's the human connection across our portfolio in our WOW zones which transforms what some view as an ordinary transaction into a sincere connection delivered with elevated hospitality. Now let's review the progress we've made on our four strategic pillars during the second quarter. Let me start with expanding our footprint. Each of the new locations we opened in Q2 helped to strengthen our position and provide more optionality for our UWC members, which reinforces our value proposition. As we've stated on prior calls, our opening cadence is back half weighted for 2025. We're being more judicious with site selection and in a more robust competitive environment, adding more rigor to ensure we're good stewards of our invested capital. Long term, we're very optimistic about the future and our ability to increase our footprint while elevating our brand. Moving on to increasing our innovative solutions. A culture of innovation across product, service and operations is in our DNA at Mister. This mindset separates us from the pack and pushes the industry forward, ultimately elevates and enhances the customer experience. While I can't yet discuss details of what's in our pipeline for the future, I can assure you that following the tremendous success we've experienced with our Titanium launch, we are already working on our next innovation to bring to market and aiming to ramp up the cadence of new product and service introductions. In the meantime, we continue to see strong titanium penetration with 23% of our membership in that tier, a roughly 300 basis point increase from Q2 last year. On a smaller note, we recently introduced our towel program in our Express stores and the customer response has been positive. We approach this new customer delighter with intent, ensuring our Mister-branded microfiber towel surpasses anything offered by our competitors. It's 150% larger than the standard offering and crafted from a premium 300 grams per square meter 80-20 cotton polyester blend. In test, our superior towel proved to be the most effective at removing residual water from hard-to-reach areas such as side mirrors and SUVs. By reinforcing our commitment to quality, our goal is to elevate customer satisfaction even further because at Mister, the car is not clean until it's dry. Next, driving traffic and growing membership. With UWC membership anchoring our business, improving the volume and consistency of our retail business is essential to accelerating overall sales and fueling membership growth. Our regional Q2 marketing test demonstrated very promising results. In the six test markets, overall comp store sales growth outpaced the nonmedia test control group in a meaningful way for both retail and UWC. This early success bolsters our confidence to continue to increase our investments in marketing and ad spend. We're only just beginning to amplify our brand, but these early results speak volumes. When we share our story, customers listen and engage. I look forward to more exciting moves ahead as we look to expand reach, boost traffic and grow our membership base. Finally, building a best-in-class team. Our people and culture are one of our greatest assets at Mister. I'm delighted to announce that we've strengthened our senior leadership team with the addition of Michelle Krall as our new General Counsel. With her decades of legal, business and retail experience at Designer Brands, Michelle is a seasoned executive with a strong background in corporate governance, M&A and transformation initiatives. I look forward to her partnership as we take the business to new heights. We still have important work ahead as we continue to invest in our best-in-class leadership development program and have prioritized our manager and trained talent pipeline as we build our next generation of high-potential future leaders to support our growth. And in the end, our greatest asset is our people, and I'm proud to say we have the best team in the industry, but we're not done building. Looking ahead, we are confident in the longer-term opportunity for our business and our position of leadership in the industry. As the industry moves towards consolidation, our scale, infrastructure and operating efficiency places us squarely amongst the best position to capitalize on the growth opportunities it creates via strategic M&A. Before I wrap up my prepared remarks, let me say that none of our success would be possible without our amazing dedicated team and the culture we've built at Mister. I'd like to thank everyone for their hard work and dedication. I'll now turn the call over to Jed to provide more commentary on our financial results.
Jedidiah Marc Gold: Thanks, John, and good afternoon, everybody. As John indicated, in the second quarter, strong performance in our UWC subscription business enabled us to drive total comparable sales growth of 1.2%, generate $87 million in adjusted EBITDA and deliver $0.11 in adjusted EPS, effectively offsetting pressure on our non-subscription business. At approximately 75% of sales, the health and resiliency of our subscription business provides a reliable, large base of reoccurring revenue from quarter-to-quarter. In addition, strong adoption of our base price increases led to higher Express revenue per member in Q2 and offset the pressure we anticipated as we lapped last year's rollout of Titanium. As we evaluate the competitive landscape, our estimates indicate that the pace of competitor new builds continues to decelerate versus prior years, which is a positive for us and the broader industry. Furthermore, comparable Mister stores that initially experienced a decline following new competitor market entrants continue to demonstrate a pattern of recovery over 18 to 24 months, eventually exceeding the chain-wide average. This reinforces the notion that our customers, even if swayed to try something new, recognize our superior operations and come back to Mister. Now let me provide some details on the second quarter numbers. For simplicity, I'll be referring to adjusted numbers only, which exclude items such as stock-based compensation and gain or loss from the disposition of assets. The reconciliation of adjusted figures can be found in our 8-K filing and earnings press release. Net revenues increased 4%, driven by a combination of 1.2% comparable store sales growth and the contribution of incremental revenue from new store openings over the past 12 months. UWC comps increased mid-single digits, partially offset by softer-than- expected retail comps, which decreased low double digits. As we shared on our last two earnings calls, retail performance in Q4 2024 and Q1 2025 was enhanced by favorable weather patterns that supported elevated consumer demand. In Q2, the absence of similar tailwinds, coupled with signs of tightening discretionary spend contributed to a moderation in growth. Despite the traffic challenges, we were pleased to grow UWC membership by 5% over last year with our churn levels remaining in line with historical levels and our expectations. Sales were fairly consistent throughout the quarter with May being the relatively stronger month. Recall that the Easter holiday created a slight headwind to our Q2 comp in April. UWC sales represented 76% of total wash sales, and we ended the quarter with more than 2.2 million UWC members. At the end of the quarter, the membership split among base, platinum and titanium was approximately 42%, 35% and 23%, respectively. Since the end of Q2, we've seen an uptick in titanium sign-ups and capture rates driven by strong consumer response to a targeted trial promotion, which we believe can drive titanium penetration modestly higher even when factoring in our expectations for churn. Finally, best Express revenue per member in Q2 increased approximately 4% to $29.23, driven primarily by the successful rollout of price increases to our base membership tier. While we typically don't provide a lot of intra-quarter commentary, July comp store sales have shown an encouraging improvement. Retail is trending less negative and UWC is outperforming its Q2 run rate. It's important to note that July was expected to be a stronger month given that it represents the most favorable year-over-year comparison for the third quarter. Total operating expenses were $178 million in the quarter. As a percentage of revenue, total operating expenses increased 200 basis points to 67.2%, primarily due to sales deleverage given our low variable cost structure. That said, our team remains focused and disciplined, continually exploring new ways to optimize costs and maximize operational leverage. Labor and chemicals increased 20 basis points to 27.6% as we lapped the efficiencies we realized from our optimized labor model and savings in chemical costs and absorbed higher labor rates, other store operating expenses increased 160 basis points to 32.6%, primarily driven by higher cash rent expense related to our new store growth and sale leasebacks as well as higher utilities, particularly electricity, where rates have been increasing. In addition, our investment into equipment and facilities maintenance to maintain our industry-leading wash infrastructure is also being impacted by higher materials costs. G&A expense increased 10 basis points to 6.9%, driven primarily by the shift of roughly $1.6 million of planned marketing spend from Q1 into Q2, which we discussed on our last call. To add to John's earlier comments, we are very encouraged by our media tests, which drove a meaningful comp lift in the six markets compared to the control group. These positive results exceeded our expectations and arm us with the conviction to broaden the scope of our testing and ramp up our marketing investments over time. EBITDA decreased 2% to $87 million and EBITDA margin decreased 200 basis points to 32.8%. Although we remain focused on controlling expenses, our EBITDA margin faced headwinds this quarter due to sales deleverage and a challenging year-over-year comparison. Second quarter interest expense decreased 25% to $15 million, primarily due to lower average interest rates year-over-year and lower borrowings compared to last year. Of note, we executed a float to fixed interest rate swap in April for $250 million, which effectively fixes approximately 30% of our floating interest rate exposure at 3.369%, plus 250 basis points as compared to SOFR plus 250 basis points, bringing even more predictability to our cash flows over the next couple of years. Finally, second quarter net income and net income per diluted share were $37 million and $0.11, respectively. Moving on to some balance sheet and cash flow highlights. At the end of the quarter, cash and cash equivalents were $26 million and outstanding long-term debt was $853 million, a $72 million year-over-year decrease and a modest decrease from Q1. As a result, we continue to expect our net leverage ratio to improve to under 2.5x adjusted EBITDA by the end of the year. Our balance sheet remains healthy and flexible, and we continue to self-fund our growth and expansion while opportunistically reducing debt when feasible. On that note, while our greenfield program currently remains the highest and best allocation of capital, it is equally important to underscore the consistent and strong cash-generating capacity of this business, which reinforces our financial resilience and enhances our long-term value creation for shareholders. We held off on executing sale leasebacks in Q2 as we awaited clarity on the One Big Beautiful Bill Act. As we suspected, following its passage and the restoration of 100% bonus depreciation incentive to buyers versus 40% prior, we've seen a marked increase in demand for our assets. We are now entering into deals on significantly improved terms compared to last year. Given the strength of our sites, operational excellence, strong credit profile and positive market conditions, we believe we'll be able to execute deals on advantageous terms. Now I'll provide an update to our full year outlook. I'll start by saying we remain highly confident in the long-term strength of our business and our position as the category leader in the car wash industry. Our fundamentals are solid. Our strategy is sound and our growth opportunities remain compelling. That said, we continue to monitor evolving consumer dynamics, particularly as near-term macroeconomic headwinds and sentiment shifts could create greater volatility in discretionary services spending. In Q2, these pressures were most apparent within our non-subscription segment. Given this backdrop, we are modestly revising the upper end of our full year guidance for comp revenue, adjusted EBITDA and adjusted EPS to reflect both our Q2 performance and a more cautious outlook on retail consumer behavior for the remainder of the year. The low end of our guidance range is unchanged. Regarding the tariff environment, as we've previously noted, our direct exposure remains limited. However, we continue to take a measured view of overall impact given the potential for indirect exposure and downstream economic effects on consumer behavior. Taking that all into consideration, let me provide additional context and color to assist you for modeling purposes. As the low end of our guidance remains the same, my comments will refer only to the high end of the range. First, within comparable store sales, we assume retail trends in the back half of the year will remain consistent with the negative low double-digit performance we observed in Q2. Breaking that down further, we anticipate total comparable store sales growth to be stronger in Q3 relative to Q4, given the more difficult year-over-year comparison we faced in the fourth quarter. Second, as we've now lapped the titanium rollout from last year, we anticipate the implementation of pricing adjustments on our base membership will continue to support revenue per member. This reflects our broader strategy for enhancing membership value while optimizing price to benefit alignment across our offerings. Third, we have slightly moderated new store openings for 2025 to reflect the disciplined approach to capital deployment prioritizing high-performing markets and optimizing return on investment as we scale with intention. This, coupled with the timing of certain deals, implies that we now expect to land around the low end of our planned new store openings for 2025 with noncomparable store sales expected to come in modestly below prior expectations. Our revised CapEx plan for this year reflects the adjustments in store openings and provides us with increased flexibility to deploy cash, including the option to reduce debt. For even more details, the full list of our outlook ranges for 2025 can be found in the table in today's earnings release. In summary, as we navigate the ongoing shifts in the industry and look ahead to future trends, our solid foundation gives us confidence in our long-term prospects even amid challenging macroeconomic conditions. We continue to lead the space with unmatched operational execution and an experienced management team whose capabilities set us apart. Backed by a powerful brand, a passionate team and a market-leading subscription model, we are exceptionally positioned to benefit from the changing tides within the car wash sector and deliver lasting value to our shareholders. Operator, that concludes our prepared remarks, and we will now open the call for questions.
Operator: We will now begin the question-and-answer session. [Operator Instructions] The first question comes from Andre Heinbockel from Guggenheim.
Unidentified Analyst: Just on marketing, right? So you've seen enough in the six markets. What do you think is -- when you think about promotions versus brand awareness, right? Where do you think the -- it's more -- there's more fruitful. And then you think about -- you clearly have room to raise marketing spend. How do you think about balancing that versus the current macro? Are you kind of spending into a void if you raise today given the macro backdrop? And hence, do you hold off on that or no?
John Lai: Yes. John, good to hear from you. So to answer your first part of your question, I think our approach has been initially focusing on awareness to generate trial and then ultimately have to adopt our service as part of the regular purchasing pattern, transitioning them ultimately into membership, which is our primary goal. But when we look at the blend from a campaign standpoint, and I want to emphasize the word blend, it really was a mix of awareness, also highlighting some of our virtues without getting overly promotional. That said, we did tinker with some percentage off and dollar off offers, and we had some interesting results across all of those different campaigns. And then I also -- so again, it's a little bit more nuanced than that. There's multiple channels that we tested. And in the different channels, we saw some encouraging results. So in short, this is probably the most significant data that we've seen that is emboldening us to say, hey, there's something here. It's starting to move the needle. We want to turn up the knob, but we want to do it in a responsible way. And so to the second part of your question, which is when are we going to start increasing our ad spend, we're going to expand our testing and move into some new markets. But we're still tinkering and we're still iterating around how to fine-tune both messages and offers because we don't have the magic bullet, but what we're seeing is extremely encouraging.
Unidentified Analyst: And then a quick follow-up, right? Some of your competitors had been more aggressive, right, with regard to membership pricing. Have you seen that now begin to kind of move more toward where you're priced? Is there more rationality from those competitors?
John Lai: Absolutely. I think at the end of the day, we believe that discounts can actually destroy value over time and dilute your brand equity. And those that are overly promotional from a discount standpoint can ultimately can end up biting them. And so that's why we've been so cautious throughout this entire process and speaking to, again, the virtues of our value prop versus leaning too heavily on price. So short answer to your question is there is some rationality setting in, and we're seeing just less activity.
Operator: The next question comes from the line of Justin Kleber from Baird.
Justin E. Kleber: First, just you mentioned an increase in titanium sign-ups during July based on some of these promotional offers. I assume it's too early to tell, but just how are you thinking about those members opting to sign up for titanium and then ultimately sticking with the plan once the promotional offer expires?
Jedidiah Marc Gold: Yes, Justin, it's Jed here. And yes, we have seen and we're encouraged with the trend that we've seen post Q2, where we've put a concerted effort and some messaging behind titanium just to help drive some -- a little bit of improvement in that titanium mix. We believe that the overall capture is going to prove sticky and that while we do expect a little bit of fallout consistent with what we've seen in the past when we run promotions like this, we believe that we've adequately captured that. And so we're sitting at the mid-20% range today. We believe we can drive that just a little bit higher. But listen, it's going to be over time. And we've captured, obviously, the low-hanging fruit with the initial rollout, but we still see some potential there for titanium.
Justin E. Kleber: Okay. That's good to hear. And then just a shorter-term question since you mentioned it, Jed, in your remarks, you talked about July and some encouraging trends. I don't know if you're willing to put a finer point on how July trended relative to 2Q's comp and maybe how that retail business is trending relative to the down low double digits for 2Q?
Jedidiah Marc Gold: Yes. As we look at the quarter, overall, for the quarter, for Q2, it was -- comps were relatively consistent. And then as I said in my prepared remarks, we picked up just a little bit of momentum in July. And the big driver, right, we are seeing some strength, but we also got to stay grounded here. We are -- we do have a softer lap in July of 2024. So encouraged with the trend, but we also expected it to be one of the stronger months on the year. And when you break that down, just looking at retail during the quarter, -- once again, retail was -- during Q1, if you recall, we were positive mid-single digits retail. And during Q2, retail was fairly consistent throughout the months where it was down negative low double digits. In July, we've seen retail improve. But once again, we have a softer retail lap that we're lapping.
Operator: The next question is from the line of Chris O'Cull from Stifel.
Christopher Thomas O'Cull: Jed, my question is on the new unit performance. I was just hoping maybe you could provide an update on the performance of new washes, including the performance relative to your underwriting targets? And any changes in the speed at which they ramp up?
Jedidiah Marc Gold: Yes, Chris, overall, we're happy with how the new builds continue to perform. There are certain cases where the stores are taking just a little bit longer to ramp than some of our very early vintages. And really four reasons for this. Competition is just a little bit denser in some of those areas. We strategically opened ahead of the main trade area, opening a store where we saw the development trending. There's a little bit of self-cannibalization where we're intentionally playing just a little bit of defense to densify our existing market. And then there's a handful where the site was -- it's a less than optimal site or site layout. And those are the ones that we're really going to school on to learn from to avoid making some of those same mistakes going forward. Overall, some of these stores that may be a little bit slower to ramp, we believe that they're going to get there. It's just taking a little bit longer for a small handful of these than what we initially would have liked. And I think this is where, Chris, going back to just one other point there. This is where on the last call, we talked about just getting a little bit more strategic, even more surgical in our site selection, incorporating even more data, more tools to bring some more -- even more precision to the site selection process.
Christopher Thomas O'Cull: Okay. Fair enough. John, is M&A becoming a more compelling opportunity? It sounds like with valuations maybe starting to rationalize and -- if so, I'm just curious, how do you think about the potential sizing of acquisitions the company would be willing to take on from both a capital and an integration perspective?
John Lai: Yes. Chris, so we definitely see M&A as a key part of our growth opportunity over the next several years. Trying to predict when and who will be available kind of be a fool in because oftentimes, it's dependent upon the seller and their intent. So we remain opportunistic and we remain open and we are evaluating and looking at a lot of things that are coming across our desk. I think it's important to note that we have really prioritized quality assets, and we look for businesses where we see a clear strategic why with an upside potential where it could be accretive for us even if we have to lean in a little bit from a multiple standpoint. But as we've shared on previous calls, we've seen a contraction in multiples year-over-year. The height of the craziness was, I think, 2022, 2023 time frame. But since then, multiples have come down to more palatable levels. And when we see something that makes sense, I think we're in a great position to strike when the iron is hot. Again, I want to overstate that buying a business is one thing, improving what you bought is another. And that's really where we excel. So the post-acquisition integration and the things that we do to improve, standardize and lift that customer experience takes some time. Oftentimes, it could be up to a year before we get the business to where it needs to be. So it's definitely a long game, and that requires patience. But we've proven over the 100 businesses that we've acquired over time that we have this really strong track record of M&A. So that's, in short, kind of our view. And over the next two to five years, as we look at our growth trajectory and what our potential could be, it's going to be this blend of greenfields, which we're very focused on right now, and M&A, which has always been a strong muscle for us. And the fact that we have both options available to us, I think, is going to put us in a great position.
Christopher Thomas O'Cull: Any comments on the potential sizing or limitations with your all capabilities in terms of what you could potentially look at?
John Lai: No. I think the days of the whole kit and caboodle and all or nothing may be over, given just some of the eclectic portfolios that have been assembled with little sense around densification and how you support those far-flung locations. So we look at everything through a regional lens and through markets that we're currently in. Our primary goal is to densify infill fortress and strengthen while we also look for adjacencies. That said, if there's a new market that is opening up through M&A, it does offer us an opportunity to act as a beachhead, if you will, to move into that new MSA if we deem it attractive.
Operator: The next question is from the line of Robert Ohmes from Bank of America.
Yanjun Liu: This is Vicky Liu on for Robbie Ohmes. And also thank you for using our car spending data in your prepared remarks. First question, can you give us more color on your investments in repairs and maintenance? And what's the average lift you expect to see after these remodels?
Jedidiah Marc Gold: Yes, Vicky, when we look at the -- so the repairs and maintenance that we highlighted, this is all part of -- as we think about maintaining an industry best facility. And so we're going to continue to make these investments as time goes on. It's -- what hits that repairs and maintenance line are those items that are below a CapEx threshold and aren't capitalized, but we deem necessary just in some of the day-to-day upkeep of making sure that the uptime of our wash continues to be best-in-class and the quality of our assets also continues to be best-in-class.
John Lai: And Jed, if I can just add, too, we're so proud of the fact that our businesses are running like a top. This is a well-oiled machine, and we have never sweat the asset. We have never neglected the business, and we continue to reinvest. When we're running high-volume car washes, there's a lot of wear and tear, and our businesses are in that top quartile from a volume perspective. So we're -- if anything, we're ahead of the curve to make sure that nothing is deferred, nothing has kicked down the road. And when you compare that to some of the businesses out there that have, quite frankly, run out of cash to support their core infrastructure, all those things catch up to you from a customer experience standpoint, and we are determined never to let that happen in Mister Car Wash.
Yanjun Liu: That's helpful. And as you look across the U.S., can you talk about your white space opportunities? And what is the biggest challenge you think when you expand into a new market?
John Lai: Okay. Well, you're sneaking in a couple of extra questions there on top of repair and maintenance. I tip my hat to you. And that's a big one. I don't know if we have enough time to talk about that on this call. But listen, the U.S. car park is large. The car wash industry is large, but we think that there's an ample runway for growth ahead of us. We still believe that we can double our footprint over time, and that will be probably a combination of greenfield as well as M&A. And again, we're agnostic to both. And we're on this march. And so as we continue to grow, it's been kind of an elusive difficult task to try to get your arms around exactly what is the specific number of car washes in the United States. I mean that's oddly one of the more debated topics. But in our own estimates, we think that we can continue to grow. If we have 520 stores today, we think 1,000 is within our target. And when we get there, we will have to reset the target and recalibrate.
Operator: The next question comes from Michael Lasser from UBS.
Michael Lasser: John, you noted that you believe the industry grew 5%, Mister was up 4%. So just mathematically, you grew a little slower than the industry in the most recent quarter. So, a, why do you think that was? And b, if there was some share leakage, who do you think there was share leakage to? And how do you respond?
John Lai: Yes. Michael, great question. So that -- you're referring to the BofA credit card data? I think you were. Maybe you don't want to reference another bank, but the data that we sourced that I think was widely available is the aggregate data for the industry. And so if there's new stores coming into the space, they're looking at total spend across the entire car wash industry. From a same-store sales standpoint, we don't have nor do you a benchmark to say what are our competitors doing today to say that we're either underperforming or overperforming. So that's how I'd respond.
Michael Lasser: Got you. In response to the slower retail trends, do you think you're seeing any evidence that the consumer is taking a pause because of some of the pricing that's passed through? And does that motivate you to want to shift any of the pricing that you have pushed through?
Jedidiah Marc Gold: Yes, Michael, the short answer is no. The pricing is performing right in line with what we expected from test. The slowdown that we're seeing, it's on the retail side. As a reminder, the price increase that we took was the UWC base price increase. And so that consumer behaves very differently. And like I said, it's performing in line with test. The retail softness that we're seeing, I think it's a couple of things. When you look at Q1, in particular, we had some really nice weather tailwinds and the lap was really soft. And we expected some slowdown from that mid-single digit to what we saw in Q2. but it was just a little bit more pronounced than what we actually expected. One hypothesis or school thought out there that we've heard is that some consumers with all the news of tariffs shifted their spending more toward goods in anticipation of tariff impact versus services. Like we said, we are encouraged to see a little bit of improvement in July.
John Lai: Yes. Jed, if I could just add a little color to that, too. When we look at our $10 price point on average for retail, it's a tremendous value and it's a very accessible price point to almost every motorist out there. But Michael, we are thinking about, hey, is there perhaps in this current period, people that are more discerning, maybe being a little more judicious with their spend. And a fun story that I want to share with you, I was talking to my daughter-in-law and who occasionally would go get her nails done. She said, hey, I want to save some money. So I did my nails myself at home. And oh my God, it took me like 1.5 hours to get my nails done. And after she was done doing it, she said, I'll never do it again. I'm going to go back to the nail salon. And if you talk to anyone that's washed their car in their home, after 1.5 hours of washing your car, you're sweating, you're hot, the car doesn't look that great. And you do the calculus and say, hey, I'm going to go to Express Car Wash in 10 minutes, I'm in and out for $10, my time is worth a whole lot more. So again, we're -- everything about the Express Exterior car wash speaks to speed, convenience, tremendous value. And we think over time, this is all cyclic and the consumer will come back, retail consumer. And by the way, if my nail salon analogy didn't land, forgive me, but it resonated with me. It just didn't land.
Operator: The next question is from the line of Peter Keith from Piper Sandler.
Peter Jacob Keith: John, the nails line referenced to land with me for what it's worth. Maybe a first question for Jed. Do you have any sense or could you quantify what you think the weather impact was during Q2? And was it a more significant weather impact quarter than maybe what we've seen over the last year or two?
Jedidiah Marc Gold: Yes. When we look, Peter, at Q2, first of all, let's just level set. This is where we're grateful for the subscription business. 75% of the business is subscription. We collect, as you know, those subscription fees, whether it's good weather or bad weather, and it really helps insulate us from these trends. It's this -- the 25% of the business that's retail that tends to have some correlation with weather. And so when we look at Q2, it was more the lack of a weather tailwind. There was maybe a slight headwind, weather headwind, but it wasn't significant during -- at least a headwind during Q2. I wish measuring weather, the impact of weather was a perfect science. We've looked at this a lot of different ways. And without a doubt, it was a benefit in Q2, and we didn't have that same benefit when we went into Q1, which we're seeing some signs of a little bit of a tepid consumer during Q2 and would point to more of that than the weather impact. We've calibrated that into our outlook. And as we look at the second half, what we've built into the second half is the same trend that we saw during the second quarter. And this really is, Peter, where -- and we touched on it on the first question, we're encouraged with the marketing that we saw and it gives us just a touch of optimism in our ability to actually drive that retail consumer behavior. But still early days. We're going to do another round of testing and really fine-tune our approach there.
Peter Jacob Keith: Okay. And maybe I'll ask a follow-up on that to John. So the marketing does sound encouraging with the 6 markets. Maybe are you cracking the whip a little bit harder? Do you want the team to try to move faster on the testing and the marketing? You've got something that seems to work in a tepid environment. Can you pick up that pace and get that marketing rolled out to more markets faster?
John Lai: Short answer, yes. And -- but we want to be intentional and deliberate and in a very measured way, expand while we tinker and iterate upon what's working as well as the things that didn't work. So this has been very much a launch and learn and then refine and continue to build upon the things that are actually moving the needle. So our goal today is to expand the test into some additional markets. So we're not going to go hog wild and just throw a whole bunch of money against the wall. But as we've discussed on previous calls, our ad spend as a percentage of revenue is very miniscule. And when compared to other operators that are spending a much larger percentage, what we don't want to do is what we call spray and pray and just throw money at it. We hold ourselves to the highest standard from a return on ad spend perspective and really want to measure how promotionally effective each campaign is. And some of those campaigns, as you can imagine, are hard to measure.
Jedidiah Marc Gold: Peter, just to put a little bit finer point as we think about the goals of what it is we're testing is we want to see comp growth net of control. And so to John's point, there's a lot of different messages that you can test and then there's a lot of different channels to communicate those messages to consumers. And that's the piece that we're continuing, making sure we're learning and then institutionalizing these learnings and doing that as quickly as we can.
Operator: The next question is from the line of Simeon Gutman from Morgan Stanley.
Unidentified Analyst: This is Zach on for Simeon. With respect to the 2025 guidance, can you provide a little more context for what you're assuming is driving the negative low double-digit decline in retail comps in the back half? Is there anything to call out from income cohorts or just weather year-over-year compares, anything to help us understand that dynamic?
Jedidiah Marc Gold: Yes, Zach, we started with really taking that Q2 trend and extrapolating that out through Q3 and Q4. A little bit of softness when we look at the -- those consumers at the lower in the lower quadrant -- lower income demographic. There's little pockets where we see some weather. Interesting to note when we break, it's our interior -- we've got 63 interior clean sites and those interior clean sites underperformed relative to expectations. They're typically a bigger contributor of retail. So if you look at the Express sites only, a little bit better performance on the retail side. I think as you look ahead to Q3, Q4, I also want to make sure we note, we do have a really strong lap in October of 2024 that we're going to be up against that we factored into the guidance as well.
Unidentified Analyst: That's helpful. And then if I could just follow up on the essentially the sensitivity of your customers to the base price increase now that most of them have been rolled out. You mentioned it was in line with your expectations. Is there any more color you can give on the progression of how the response might initially compare to the way it normalizes, whether two to three months after an initial downturn?
Jedidiah Marc Gold: Yes. So to date, the rollout, it's gone as planned with strong member and new customer adoption like we said, the rollout and the results are in line with our expectations and what we've observed. We did a few different test markets late 2024, and then it's been a phased rollout throughout 2025. And while we see a slight uptick in the churn, four to six weeks, those churn levels are back down in line with our historic average. As we've said, that price increase is just on the base membership. We do have a handful of markets that we still need to take the base price increase on that we'll see a little bit more impact in the second half of the year. But largely, we've taken it in all the markets. One thing to note when taking a price increase in subscription like this, it is about a 45-day lag for your existing subscription customers before they recharge, 45 days on average before they recharge at that new higher price. So there is just a little bit of a lag when we take a price increase like this. So performing in line with what we expected. We have got the question, do we see people trade up into that platinum package as a result of the base price increase. We are not seeing any of that. It has not been factored into the guidance, but the outlook factors in our -- the price increase as we saw in test, and that's what we're seeing here now today.
Operator: The next question comes from the line of Phillip Blee from William Blair.
Phillip Blee: Can you share what percentage of your stores were negatively impacted by competitive intrusion during the quarter? And then, Jed, you briefly touched on this during your remarks, but can you share a bit more about how comps look for those stores based on how long ago the competitive intrusion occurred? So if a competitor opened during the past year, what are those stores comping at versus if a store had competitive intrusion in one year or two years or even no competitive intrusion? Just trying to gauge how quickly that recovery ramps up.
Jedidiah Marc Gold: Yes. So when we look at the number of our existing stores that had a competitor open within a 3-mile radius, it's roughly 13 of the stores. We tend to track this with a couple of different data sources. Some of it's crowd sourced through our field team, but then we also have a system where we look at this. And -- so it's significantly less than where we were two years ago. If you recall, two years ago, there were, on average, 30 stores per quarter that were being opened. So we are definitely seeing a slowdown of new competitors coming in. And then when we look at the breakdown of stores that have a competitor within a 3-mile radius and then start to age those competitors, those stores where the competition was less than 1 year old, they were a negative low single-digit total comp compared to the all-in system average of plus 1.2%. And then when we go to the other side of the spectrum, those sites without any competition, they comped at a positive mid-single digit. And then everything else follows in a nice curve, very consistent pattern in what we've seen. quarter after quarter after quarter. And this is what gives us confidence is longer term, and it's a testament to the great operations of Mister and the consumer finds their way back over time.
Phillip Blee: Okay. Great. Very helpful. And then car wash has been an industry that some politicians have recently highlighted as one that has faced incremental headwinds from some amped-up immigration enforcement efforts. Just curious if you've seen any of this impact to your business at all or whether or not this could be actually more of a hindrance to some of your peers and in turn, be a benefit to you?
John Lai: Yes. No, absolutely not. We participated in the E-Verify program back when it was a pilot program over 20 years ago. And so we play by the rules, and we are highly confident that our workforce is documented to work in the United States. So we don't see any immigration enforcement issues as any impediment to our ability to operate. So short answer is no.
Operator: The next question comes from Bobby Griffin from Raymond James.
Robert Kenneth Griffin: Just curious, based on kind of your early learnings from the pricing initiatives, how does it change how you guys view price as one of the tools that you can use to drive comps going forward? And do you -- does like the success of this initial pricing increase, does that create an opportunity for more of a pricing optimization type of work throughout the tiers of your membership?
John Lai: Yes. Good question. So our pricing cadence has been somewhat episodic and definitely is lagging inflation for sure. And we're kind of happy with this conservative approach, to be honest with you. You might argue that we're leaving money on the table. But our thought process is that we want to appeal to a broad array of consumers, both high end and glass and because everyone loves a car wash. And so to that end, we wanted to continue to offer extreme value for those that perhaps had less discretionary income, but then also have premium services for those that are less price sensitive. And across that array, we think that we're highly competitive. So we think that there are definitely opportunities going forward. Our conservative approach could be perhaps optimized over time. We are definitely looking inside all areas of our business to see how we can create more value and drive revenue. And pricing certainly is one of those levers. But I'll say this, it's one of the easiest levers to press. And for us, what we want to do is earn a price increase by creating more value to our customers, which is why we focus more on the R&D innovation side so that we can deliver something new and exciting and better when we do launch a new price increase.
Operator: The next question is from the line of Christian Carlino from JPMorgan.
Christian Justin Carlino: Now that you have the full rate of the base price increase flowing through in the back half and you're annualizing the titanium rollout and the platinum changes from last year, how are you thinking about member counts versus revenue per member in the updated guide? And does the guide assume any change in the membership outlook? Or was it all the retail business that drove the revision?
Jedidiah Marc Gold: Yes. The biggest driver there, Christian, is that retail. As we think about membership and as we've seen the price increase that we've taken, revenue per member is -- when you look at the UWC comp, revenue per member is the biggest driver there. But the guidance revision is being driven by that -- the retail softness that we saw during the quarter.
Christian Justin Carlino: Got it. That's helpful. And on the margin front, it looks like you're implying pretty solid margin expansion in the back half despite softer comps. So could you talk about what's driving this? Was there any expenses pulled forward into 2Q or just generally tightening the belt? Anything there?
Jedidiah Marc Gold: Yes. The biggest expense that we -- and we talked about this on our Q1 call was the pull forward of the marketing spend from the Q2 marketing test that we ran that hit in Q2. We do expect some margin expansion Q3, Q4 on a year-over-year basis. We did expect some -- we had such a strong Q2. We were expecting Q2 margin to be down just a little bit from where we were in 2024. It was just a little bit more pronounced because of the sales deleverage. But with a low variable cost model like this, sales go a long way in helping drive that margin line as we look at Q3, Q4, we're constantly looking at little initiatives and opportunities to optimize our cost structure. We recognize that there's -- as we go take different contracts to RFP to try and get best pricing and trying to optimize our supplier base and leveraging the scale of Mister Car Wash to get more favorable pricing. Those little things start to add up and helping drive some margin expansion.
John Lai: Sorry, go ahead, operator.
Operator: This concludes our question-and-answer session. I would like to turn the conference back to John Lai for closing remarks.
John Lai: Thank you, operator, and thank you, everyone, for joining the call today. As we look at our business over the long term, we've never been more optimistic. With competitive dynamics shifting in our favor, competition moderating, we believe we're super positioned to capitalize on all the opportunities in front of us, and the best is yet to come. So thanks, everybody.
Operator: Thank you. The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.